Operator: Good morning, ladies and gentlemen. Welcome to Group 1 Automotive's Third Quarter 2025 Financial Results Conference Call. Please be advised that this call is being recorded. At this time, I'd like to turn the call over to Mr. Pete DeLongchamps, Group 1's Senior Vice President, Manufacturer Relations and Financial Services. Please go ahead, Mr. DeLongchamps.
Peter Delongchamps: Thank you, Jamie. Good morning, everyone, and welcome to today's call. The earnings release we issued this morning and a related slide presentation that include reconciliations related to the adjusted results we will refer to on this call for comparison purposes have been posted to Group 1's website. Before we begin, I'd like to make some brief remarks about forward-looking statements and the use of non-GAAP financial measures. Except for historical information mentioned during the conference call, statements made by management of Group 1 Automotive are forward-looking statements that are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve both known and unknown risks and uncertainties, which may cause the company's actual results in future periods to differ materially from forecasted results. Those risks include, but are not limited to, risks associated with pricing, volume, inventory supply, conditions of market, successful integrations of acquisitions and adverse developments in the global economy and resulting impacts on demand for new and used vehicles and related services. Those and other risks are described in the company's filings with the Securities and Exchange Commission. In addition, certain non-GAAP financial measures as defined under SEC rules may be discussed on this call. As required by applicable SEC rules, the company provides reconciliations of any such non-GAAP financial measures to the most directly comparable GAAP measures on its website. Participating with me on today's call, Daryl Kenningham, our President and Chief Executive Officer; and Daniel McHenry, Senior Vice President and Chief Financial Officer. I'd now like to hand the call over to Daryl.
Daryl Kenningham: Good morning, everyone. Let me start with a few highlights from the quarter before discussing our regional performance. Group 1 delivered an all-time record quarterly revenues driven by record results in parts and service and used vehicles, along with another quarter of very strong F&I performance in both the U.S. and the U.K. New vehicle PRU gross profit performance was solid and customer pay in both markets performed well, supported by healthy repair order growth. We've maintained cost discipline in the U.S. with good SG&A leverage less than 66% on an as-reported and same-store basis. Now turning to our U.K. operation. The U.K. environment remains challenging with inflation, wage and insurance cost pressures and the BEV mandate, which continues to compress margins. While the broader SAAR improved slightly in the quarter, much of that growth was fleet-driven and retail conditions remain soft. New lower-cost entrants are seeing increasing market share performance with cost-conscious consumers. However, this is not yet a significant factor in our business given our luxury leaning portfolio. Despite these headwinds, there are some bright spots in our U.K. business. Our aftersales business continues to expand with healthy customer pay operations. We are applying our U.S. aftersales playbook across our U.K. dealerships. For example, in the U.K., our stores now welcome walk-in customers, which we had previously limited. And we have fully reopened shop schedules, cutting appointment wait times from nearly 2 weeks to just a few days. And we're extremely pleased with the progress we're making in reshaping our U.K. aftersales business. New vehicle margins in the quarter remained steady year-over-year. Our used vehicle volumes in the U.K. were up nearly 4%. Our U.K. used vehicle teams have been successful exercising discipline in our aging and reconditioning process. F&I also delivered an excellent quarter with same-store PRU up $155 or greater than 16% year-over-year. Our team is focused on improving product penetration, which has resulted in same-store financing penetration increasing by over 4%. We're continuing to strengthen our business with initiatives to offset our cost increases. Since the acquisition of Inchcape, we've implemented a series of headcount reductions, systems-integration activities and selective franchise closures and divestitures to improve operational efficiency and to better align our cost structure with current market conditions. Our headcount reductions have included approximately 700 positions across the U.K. and our responsible portfolio management has resulted in the closure of 4 dealerships and the termination of 8 franchises. We're making meaningful progress on systems integration. Across our U.K. business, we've completed the consolidation of 11 DMS platforms, and we're rolling out a new business intelligence system now. We are also completing the final stages of our U.S., U.K. systems integration review spanning approximately 90 different systems company-wide. These actions are improving visibility, operational consistency and data-led decisions across the organization. In the third quarter, we formally notified Jaguar Land Rover of our decision to exit this brand in the U.K. within 24 months. We feel our efforts and some of our real estate can be more effectively utilized elsewhere. We are collaborating closely with our OEM partners at JLR to achieve a positive outcome for them and for Group 1 shareholders. It's our intention that this achieves a positive result for all concerned. Due to this decision, our U.K. portfolio was required to be tested for impairment. As a result, we took a $123.9 million asset impairment in the quarter. Also important to note, this decision was unrelated to the JLR cyberattack, which separately impacted our U.K. profitability by approximately GBP 3 million during the quarter. Those actions reflect our commitment to optimize our portfolio, control costs and focus our resources on winning through operational excellence. We will continue to refine the U.K. business, managing our headcount, rightsizing our network and prioritizing aftersales and F&I while leaning into our luxury platform and geographic diversity. This will position our U.K. business for long-term success. Now turning to our U.K. operation. Our U.S. teams continue to execute very well, maintaining operational discipline and customer focus across our dealerships. As a result, the business delivered another solid quarter of growth with healthy performance across all major lines. Demand remained consistent throughout the quarter, supported by balanced inventory levels and steady consumer interest, which we believe to be relatively healthy in the U.S. Our used vehicle units sold nearly set a record, only 40 units off of our all-time quarterly volume record. Our same-store sales in used vehicle outpaced the industry. F&I was outstanding once again with an all-time quarterly high PRU of nearly $2,500, combined with an impressive 77% new vehicle finance penetration. Aftersales achieved record quarterly revenue and gross profit, underscoring the strength and stability of this high-margin business. Our investment in our aftersales operation continues to capture growth and our initiatives around flexible scheduling, all-day Saturday operations and technician productivity continue to create new capacity and improve retention across our U.S. stores. Same-store technician headcount increased by over 4% due to our recruitment and retention efforts. On a same-store basis, our customer pay revenue increased nearly 8%. Warranty was up 16% versus a prior year comp that saw 20% growth. We continue to believe in the potential of our aftersales business, and we also believe that capacity and productivity are the keys to success. The overall U.S. environment remains dynamic with ongoing policy and trade uncertainty. We're maintaining a cautious but confident stance, balancing discipline in spending with targeted investment where we see long-term return. Our operational excellence is a key advantage, giving us the ability to adjust quickly to changing conditions. Now a word about our capital allocation. In August, we added Mercedes-Benz of Buckhead in Atlanta, Georgia to our portfolio. It's expected to be one of the best-performing stores in the U.S. for Group 1. It's positioned in a growing market and consistent with our cluster strategy and our disciplined focus on pursuing only those opportunities that will create long-term shareholder value. Just as importantly, we continue to opportunistically buy back shares of our company. Since the beginning of 2022, we've repurchased nearly 1/3 of the company's outstanding common shares. The acquisition landscape has been fairly quiet in recent months, and we continue to engage in researching opportunities in the U.S., but we are holding on further U.K. acquisition investment. We expect consolidation to continue in the future in both markets, and we believe we're well positioned with our OEM partners to capitalize on those kind of opportunities. Now I will turn the call over to our CFO, Daniel McHenry, for an operating and financial overview.
Daniel McHenry: Thank you, Daryl, and good morning, everyone. In the third quarter of 2025, Group 1 Automotive reported quarterly record revenues of $5.8 billion, gross profit of $920 million, adjusted net income of $135 million and adjusted diluted EPS of $10.45 from continuing operations. Starting with our U.S. operations. Performance was strong across all business lines, both reported and same-store. Revenue growth was broad-based, led by record quarterly records in used vehicle, parts and service and F&I. New vehicle unit sales rose mid-single digits on both a reported and same-store basis, reflecting healthy demand and steady inventory flow. While new vehicle GPUs continue to moderate from the highs of the past few years, we have maintained strong operational discipline through effective cost management and process consistency. Expiring tax credits lead to increased BEV deliveries in the quarter at lower GPUs, negatively affecting U.S. new vehicle GPUs by approximately 6%. Our used vehicle operations performed well with record quarterly revenue and GPUs holding up well with only a slight 3% decline on a same-store and as-reported basis. These results reflect the benefits of our scale and operational flexibility, combined with our team's focus on disciplined sourcing and pricing in a competitive market. Our third quarter F&I GPUs grew over 5% or $135 and $126 on a reported and same-store basis versus the prior year comparable period, respectively. The performance by our F&I professionals has been outstanding to maintain GPU discipline while driving higher product penetration across nearly all product categories. Aftersales once again stood out as a major contributor, achieving record quarterly revenue and gross profit. Gross profit continues to benefit from our efforts to optimize our collision footprint, shifting collision space opportunistically to additional traditional service capacity and closing collision centers where returns do not meet our requirements. Aftersales remains one of our strongest engines of growth and stability. Overall, our U.S. business continues to perform exceptionally well, demonstrating both the strength of the consumer demand and the effectiveness of our disciplined process-driven operating model. Wrapping up the U.S., let's shift to SG&A. While U.S. adjusted SG&A as a percentage of gross profit increased 160 basis points sequentially to 65.8%, we view this as a good performance. We continue to focus on resource management and technology investments to maintain SG&A as a percent of gross profit below pre-COVID levels as vehicle GPUs further normalized. Turning to the U.K. Results reflected a challenging operating environment. However, same-store revenues grew across almost every line of business. New vehicle same-store volumes declined 4% and local currency GPUs moderated by 1% versus the prior year quarter, leading to a 6% decline in local currency same-store new vehicle revenues. Used vehicle same-store revenues were up over 5% on a local currency basis with volumes up 4%. However, same-store GPUs declined by over 24% on a local currency basis, leading to a similar decline in same-store used vehicle GPU, reflecting the challenging used vehicle market in the U.K. Aftersales and F&I year-over-year growth in both revenue and gross profit. The aftersales business remains an important stabilizer within the U.K. operations, along with F&I is a key area of focus as we work to enhance profitability. Same-store F&I PRU reached $1,106 with as reported and same-store PRU both increasing more than 15% year-over-year. On expenses, SG&A increased from the prior period, reflecting cost inflation and integration-related impacts as well as a lack of gross profit for the full quarter from our JLR operations due to the cyberattack. While we have executed target restructuring initiatives to improve efficiency and return the business to more sustainable cost levels, costs continue to increase, some of the government imposed through increased payroll tax-related charges. During the quarter, we also incurred modest nonrecurring restructuring charges tied to our restructuring efforts. In response to current market conditions, we are taking further actions to reduce our corporate headcount by approximately an additional 10%, and we are taking additional expense actions to save an expected $8 million in our stores. We will benefit from these savings in 2026. We will also be executing additional restructuring plans in future periods as we exit select OEM sites. In connection to the notification with JLR, we recognized a franchise rights impairment charge of $18.1 million, which is included in the impairment charge that Daryl mentioned earlier. We are taking decisive actions in the U.K. to control costs, strengthen operational efficiency and position the business for improved returns as market conditions stabilize. Turning to our balance sheet and liquidity. Our strong balance sheet, cash flow generation and leverage position will continue to support flexible capital allocation approach. As of September 30, our liquidity of $1 billion was composed of accessible cash of $434 million and $555 million available to borrow on our acquisition line. Our rent-adjusted leverage ratio as defined by our U.S. syndicated credit facility was 2.9x at the end of September. Cash flow generation through the third quarter of 2025 yielded $500 million of adjusted operating cash flow and $352 million of free cash flow after backing out $148 million of CapEx. This capital was deployed in the quarter through a combination of acquisitions, share repurchases and dividends, including the acquisition of $210 million in revenues, $82 million repurchasing approximately 186,000 shares at an average price of $443.81 and $6.4 million in dividends to our shareholders. Subsequent to the third quarter, we repurchased an additional 140,000 shares under a Rule 10b5-1 trading plan at an average price of $433.48 for a total cost of $60.9 million, resulting in an approximate 5% reduction in share count since January 1. We currently have $165.4 million remaining on our Board-authorized common share repurchase program. For additional detail regarding our financial condition, please refer to the schedules of additional information attached to the news release as well as the investor presentation posted on our website. I will now turn the call over to the operator to begin the question-and-answer session.
Operator: [Operator Instructions] And our first question today comes from Bret Jordan from Jefferies.
Bret Jordan: Some of your peers have talked about a U.S. luxury trend softening. Could you sort of give us any color on what you're seeing at the consumer, maybe luxury versus import versus domestic demand trends and GPUs?
Daryl Kenningham: Bret, I wouldn't say that what we've seen is material enough yet to call it a trend. You've seen a little bit of shift between some of the big bakes. Audi is certainly a challenge. I'm not sure that's consumer related. But we saw a little bit of inventory build in some of the luxury makes in the third quarter. I think the real tell will be fourth quarter, which typically is the largest quarter of the year for the luxury makes and especially the Germans. And so before I think we would say we see a softening there, I'd want to see how the fourth quarter kind of shakes out and where that heads, to be honest with you. And Peter or Daniel may have another view based on their perspective.
Peter Delongchamps: Bret, this is Pete DeLongchamps. I would tell you that our Lexus business remains very, very strong. BMW dealerships did well in the quarter. Like of Daniel's or Daryl's comment on the Audi business is certainly difficult.
Bret Jordan: Okay. And then a question on the JLR exit, I guess, within 24 months. It sounded as if you might be reallocating some of those properties to other brands? Or is this -- when you think about business?
Daryl Kenningham: Yes, we own the vast majority of those -- that real estate. And we've had some reviews of how it might be used in better ways, primarily automotive, other brands potentially. Some of them will stay JLR and transition to another owner. And then others, just through the consolidation work going on in the U.K. with all the OEMs, it might provide an opportunity for us in some of our cluster markets and other brands. Some of that is still undetermined. But that is an outcome that's a possibility. Yes, absolutely, Bret.
Bret Jordan: Okay. And the housekeeping, I guess, of the $124 million impairment, $18 million of that was JLR...
Daniel McHenry: So it's Daniel here, Bret. It's a combination there. So in terms of our franchise rights, $18 million was JLR. Now what that did was by terminating the JLR franchise, it triggered us to have to look at the U.K. entity as a whole and take a goodwill impairment. Now that goodwill impairment is not just JLR specific, it's the entity as a whole. So some percentage of the circa $100 million remaining will be relating to JLR. So 18-plus some percentage of the total business unit.
Operator: Our next question comes from Rajat Gupta from JPMorgan.
Rajat Gupta: Just to follow up on Bret's question on the U.K., just the reallocation-of-capacity question. Would you consider partnering with some of the Chinese brands here? It clearly looks like they're gaining a lot of share, putting some pressure on the legacy brands that you own. Curious if there's any thought process around that of maybe increasing exposure there? And I have a quick follow-up.
Daryl Kenningham: Rajat, there, we have met with some of the Chinese OEMs about representing them. And we continue to consider that and review that. And we've also looked at that part of the industry and where we believe it's going in the U.K. We believe for the next several years, it will be primarily mass market focus and not luxury. At some point, we certainly get the luxury business. Our focus in the U.K. is primarily luxury. But we have looked at it. What we want to make sure that we are comfortable with is that the retail model is a good one for our shareholders. The rooftop throughput at retail for the Chinese brands is still quite low and the economics around these rooftop aren't what our other stores can generate at this point. But we realize, obviously, they're growing. We want to make sure that we're positioned well to take advantage of that if there's an opportunity. We are having some active dialogue.
Rajat Gupta: Got it. Got it. That's helpful. And then just on the used GPUs in the U.S., it seems like it pulled back quite a bit sequentially, also down year-over-year. I'm wondering if you could elaborate a little bit more on that. Was it just some of the tariff tailwinds from the previous quarter going away, maybe some higher priced inventory that came with the quarter? Or is there -- or is it just a sign of just more competitive landscape on the used car side? Any thoughts there would be helpful.
Peter Delongchamps: Rajat, it's Pete DeLongchamps. We've certainly seen stabilization through the used car -- in the used car business. But it does remain very competitive in the acquisition landscape of used cars. I think we've done a really good job of maintaining discipline with our auction purchases. The majority of our cars come from trades and customer outside purchases. But it's a business right now that it is dependent on how well you can acquire and how quickly you can turn. I think we maintained a 30 -- 31-day supply again. So we're comfortable with the performance of the used car operation in the current landscape.
Operator: Our next question comes from Jeff Lick from Stephens Inc.
Jeffrey Lick: I was wondering, Daniel or Daryl, if you wouldn't mind just giving some detail on the parts and service in the U.S. and the dynamics here, customer pay and warranty up 16%. Just as we go forward, is there anything that would skew the gross margin percentage, which obviously flows into gross profit dollars? Just the dynamics and we're lapping some tough compares now. Just any color would be helpful.
Daryl Kenningham: Well, the encouraging thing, Jeff, this is Daryl, and I'm sure Daniel has a comment. The encouraging thing is our customer count grew. In the U.K., it grew almost 6% year-over-year. In the U.S., it grew 3%. So we were really pleased that we're adding customers to our shops, not just dollars. And so we feel like our CP business is still healthy, and we still feel like there's a lot of opportunity there. Warranty is really tough to predict sometimes, obviously. And we don't see any reason for necessarily a mix change. One thing that is happening is the -- I mean, a margin mix change, I should say. As the collision business is -- it's getting weaker and that can affect margin because a lot of the our wholesale parts sales go to the collision industry. And so overall aftersales margin may be helped by that on a percentage basis. So if the wholesale parts continue to climb. So at least the collision sector. But on CP and on warranty, we haven't seen that. I know there's been some discussion on margin percentages by some in the industry, but we haven't necessarily seen that. We don't necessarily really predict that either. So Daniel, I don't know if you have anything to add.
Daniel McHenry: Jeff, the only thing that I would add around was customer pay, as Daryl said, continues to be strong. U.S. specific, we've grown by about 8% year-on-year. In terms of warranty, we've grown by just over 16% year-on-year. Now as we talked about in the earnings call, collision is down. We closed a number of our smaller collision centers turning those into customer pay work, and it's down about 11% in the quarter. Now the result of that is that our margin mix as a total company is trading upwards and our margin mix has gone up from about 54% to 55.2% in the quarter.
Daryl Kenningham: CP margin was up year-over-year for us and so was warranty margin.
Jeffrey Lick: Just a quick follow-up. I think maybe this is one for Pete. On your Slide 14, you guys do a good job of always disclosing the retention by model year, which I don't think your peers necessarily disclose that. Could you talk a little bit about -- I believe you guys are well north of what would be typical and just the dynamics there.
Peter Delongchamps: This is on parts and service overview, retention?
Jeffrey Lick: Yes.
Peter Delongchamps: Yes, I think what we're working on, and it starts with the sale. And then if you take a look, Jeff, at our overall consistency with vehicle service contracts, maintenance, we are completely focused on getting our customers back into our shops, and we do that through constant follow-up. We do that by ensuring that pricing is right, making sure that schedules are wide open for appointments. And I think that when you take a look at the trend we've had over the years, and we've done a remarkable job with it, and this is where we've landed at 68-plus percent.
Daryl Kenningham: Jeff, one of the things that we focus on, the way we measure retention is 2 visits in a year. Other people measure it differently. OEMs all measure it differently. we wanted a standard number we could use inside Group 1 across all our stores. The key in the future as the average mileage goes up, the age of the cars is still going up. Our average mileage on our service drives is almost 70,000 miles. And really, the key for us to continue to grow customer pay is in reaching those higher mileage, older vehicles. And one of the keys to doing that is when we vertically integrated our own data management with our customers starting about a year ago so that we now have a much clearer view, much better view of where our customers are going and when they're likely to need service next using propensity modeling and things like that, that help us do that. And so we have to be able to reach deeper into that ownership cycle as time goes, and we're really working hard on that, really working hard.
Jeffrey Lick: Well, the results show. Best of luck in the next quarter.
Operator: Our next question comes from Daniela Haigian from Morgan Stanley.
Daniela Haigian: So one on forward demand. We've kind of passed through the peak tariff fear from April. We're now seeing OEMs revise up their guidances, clearing the bar on these improved gross tariff impacts. Are you seeing any decontenting or changing in pricing on new model year vehicles in excess of the normal price hikes? And how are you thinking about that going into next year?
Daryl Kenningham: We haven't seen anything in excess of normal price hikes, Daniela. We've seen a little recontenting not -- I wouldn't -- I would say it's normal. there hasn't been any broad announcements about major pricing. There's been a couple of specific pricing actions with smaller OEMs. As we think about it and in more discussions we have with our OEM partners is they are taking a longer view on it, and they're going to try to recover the tariff impacts over a longer period of time and some of that -- and they will absorb most of it in general. And we're seeing very little pricing that can be attributable to tariff increases. And I think that will continue, to be honest with you, unless something radically changes with the tariffs, we think that's probably what will happen. And Pete may have some more.
Peter Delongchamps: No, I think, Daryl, you just covered it. The only thing I would add is you take a look at the financial services companies and the strength of the financial services companies can bring down those -- some of those additional costs through leasing subbing rates, which bodes well for those OEMs that have strong financial services companies.
Daniela Haigian: Got it. That's helpful. And then one more, maybe, Pete, for you.
Daryl Kenningham: Our captive lenders are really -- a real advantage, we feel like. And we -- they drive loyalty, they drive finance attachment, and that's a real key for Group 1.
Daniela Haigian: Absolutely. Absolutely. And then in that vein on auto credit, obviously, there's a lot of headlines out there. And obviously, Group 1 skew is much higher on the credit quality curve. But just as investors continue to focus on risk to the consumer, have you seen any change in consumer behavior in the last few weeks starting the fourth quarter?
Daryl Kenningham: We have not seen a change in consumer behavior. And actually, we're seeing increased penetration rates on new and used. And then most of the headlines are centered around the deep subprime, which we don't play in. So a channel checked the majority of our lenders prior to this call and the business continues to be robust, and there's still a lot of appetite with the lenders to make car loans with us and our customers.
Operator: And our next question comes from Glenn Chin from Seaport Research.
Glenn Chin: I guess just a couple of questions on the U.K. So just broadly on the macro. I mean, this used to be close to 25-million-unit market. Can I just ask where you see it settling out? And what needs to be done to improve it? I mean, is it lower energy costs or government incentives? And does it need to get worse before it gets better?
Daryl Kenningham: It doesn't need to get worse before it gets better. What has to happen is the throughput through per rooftop has to grow. The margins were steady year-over-year. The aftersales business is healthy. We've got work to do on costs, as we've mentioned. And the OEMs are all working to try to rationalize their networks to a level that meets today's SAAR of around 2 million rather than the 2.5 million that you referenced, Glenn. So as we take rooftops out, that should improve the throughput of the remaining networks, and they're all working feverishly on that. Some of them are in our opinion, taking a healthier approach than others. Groups like Volkswagen, groups like Mercedes-Benz, groups like BMW are doing a really great job working with their dealer partners to try to affect that. And I think their outcomes are going to be really good, really healthy. But that's a real key is to try to get the throughput per rooftop up to a better level. And then while we continue to take costs out, we'll continue to do that and focus on that. Daniel may have something to add.
Daniel McHenry: Glenn, there's a couple of things that I would add. If you look at the forward-looking SAAR curve for the U.K., it's pretty static out over the last -- the next 5 years in terms of approximately 2 million. I think the important thing for us as a company is that the premium sector within that 2 million remains pretty constant with a little uptick over the next 5-year period. In terms of the U.K. government at this moment in time, they continue to be taxing both the consumer and the business fairly heavily. And I can't really see that changing in the short term. But as Daryl rightly said, there's a lot that we can still do around cost. And equally so, we bought a lot of stores over the last 18 months, and we are working on portfolio rationalization, which I think will make the business a much stronger business coming out of that in 18 months' time.
Glenn Chin: And can you -- with respect to that rationalization, Daniel, can you give us a feel or some perspective on how much more needs to be done? I mean, you took $124 million in impairment this quarter. How much more needs to go?
Daniel McHenry: In terms of impairment, that's -- we've taken impairment for JLR as a franchise, and we took effectively a goodwill impairment on our whole company. If I look at our forward-looking projections for that, I would say I would be fairly confident, all things being equal, that we have taken the impairment that's required for us to take as a company. In terms of other things that we would dispose of, typically, they're going to be smaller stores or underperforming stores that have little or no goodwill attributed to those stores, certainly in terms of franchise rights. So I wouldn't expect there to be any additional impairment. Equally so, we've totally impaired the Jaguar Land Rover franchise, and we will be able to sell those for some element of goodwill or some element of value. So we should see some upside coming out of that.
Daryl Kenningham: And Glenn, if you look at how we've managed our portfolio in the U.S. over the last 4 years, we've sold smaller underperforming stores in the U.S. or divested of those or closed some of those. And so it's a similar approach that we're taking in the U.K.
Daniel McHenry: Portfolio rationalization -- we're optimizing, I should say.
Glenn Chin: Just one last question on JLR. So what is different about the franchise in the U.K. versus in the U.S. or your stores for that matter? Do you have a different view of the JLR franchise in the U.S.
Daryl Kenningham: Well, when you look at where some of our U.K. JLR stores are, they're close to London. And London had some of the highest theft issues in the -- which affected insurability on those vehicles. And we saw the order banks dry up very quickly in those brands and then in those ZIP codes right around London. And so that was -- and that didn't recover really, Glenn. And so when you look at that and when you look at how much those stores are contributing or losing, and what we really firmly believe at Group 1 is we've got to put our focus and attention and efforts in the areas that are going to drive the best shareholder return for our constituencies. And so when we looked at it and assessed it, and it wasn't an overnight decision, obviously, it was something we've considered for some time. We just felt like our efforts are better with some of our other partners. And we also hope and believe in my conversations with the OEM on this, that they can go get partners that they feel like they can be successful with. But given the real estate that we have with JLR and given the location of those sites and just the outlook in general of it, we felt like our efforts were going to be much better utilized and the return is much better in our other brands.
Operator: And ladies and gentlemen, with that, we'll conclude today's question-and-answer session. We do thank you for joining today's presentation. You may now disconnect your lines.